Operator: Ladies and gentlemen, thank you for standing by, and welcome to ADTRAN's First Quarter 2011 Earnings Release.  [Operator Instructions] During the course of the conference call, ADTRAN representatives expect to make forward-looking statements which reflect management's best judgment based on factors currently known. However, these statements involve risks and uncertainties, including the successful development and market acceptance of new products, the degree of competition in the market for such products, the product and channel mix, component costs, manufacturing efficiencies and other risks detailed in our annual report on Form 10-K for the year ended December 31, 2010. These risks and uncertainties could cause actual results to differ materially from those in the forward-looking statements which may be made during the call.  Thank you. I will now turn the call over to Tom Stanton, Chairman and Chief Executive Officer of ADTRAN. Please go ahead, sir.
Thomas Stanton: Thank you, Laurie. Good morning, everyone. Thank you for joining us for our first quarter 2011 conference call. With me this morning is Jim Matthews, Senior Vice President and Chief Financial Officer.  I would like to begin this morning by discussing our first quarter performance, and I'll end with some comments on what we expect for the second quarter. As stated in our press release, ADTRAN set a new revenue record of $165.5 million in the quarter. Our performance was driven by revenue acceleration in our growth areas which grew 51% over the same period last year, more than offsetting seasonal declines in our traditional product areas.  Our growth areas continue to benefit from increasing demand for higher-speed services from both residential and business customers, broad-based strength for mobile infrastructure upgrades and the continued migration towards IP services. Combined, our growth areas achieved a record of $105.6 million in revenues, representing 64% of the company total.  The Carrier Networks division as a whole reported an impressive 33% increase in revenue over the same period last year, as a result the market share gains and service upgrade deployments in Tier 2 and Tier 3 carriers with our Total Access 5000 platform, market share gains and an increase in market demand for our optical products used for mobile backhaul, acceleration of fiber-to-the-node shipments outside of the U.S. and an increase in demand for products enabling Ethernet service delivery.  Our Enterprise divisions grew 21% over the same period last year, as a result of market share gains driven by competitive carriers, including traditional CLECs [competitive local exchange carriers] and MSOs [multiple services operators], strong demand through our VAR [value-added reseller] dealer base and an overall increase in demand across Tier 1 carriers.  Looking at our business on a product-line basis, Broadband Access set a new record of $51.8 million, achieving 42% growth over the same period last year. As expected, the Total Access 5000 platform led this growth, driven by market share gains and service upgrades across a broad set of customers.  Our Internetworking category achieved another record revenue level, growing 48% over the first quarter of the prior year. Again, we saw growth from competitive service providers and all our channels, including carrier resellers. Our growth year-over-year occurred across all product sectors, including access routers, Ethernet Switches, IP Business Gateways, IP PBXs and EFM products.  Our mobility products performed as expected, with Optical Access growing an impressive 86% over the prior year, achieving a new record level, as a result of increasing investment in network upgrades. Growth in this category, although widely distributed, occurred predominantly in Tier 1 and Tier 2 carriers. HDSL was slightly up over the prior year, achieving $40.9 million in revenues.  Now moving on to a discussion about the second quarter. We expect our Broadband Access category to yet again set a new record, driven by our Total Access 5000 family and fiber-to-the-node platforms, as carriers continue to deliver higher-speed services, migrate their networks to Ethernet. And these product lines benefit from increasing activities with international carriers.  We expect professional services revenues will grow sequentially as ongoing projects progress and new awards come online. We believe Internetworking will continue to maintain its current positive momentum, benefiting from market share gains, market growth and new customer momentum. And lastly, we expect our mobility products to continue their strong performance, driven by increasing demand for our Optical Access platforms.  As I said on our January conference call, accelerating broadband deployments driven by increasing competition and an intensive upgrade of mobile infrastructure, channeled expansion in our enterprise segments, meaningful sales initiatives outside the United States, government and regulatory initiatives, coupled with an innovative, diverse and expanding product portfolio lead us to be optimistic about the year ahead.  I would now like Jim Matthews to review our results for the first quarter of 2011 and our comments on the second quarter of 2011. We will then open the conference call up for questions. Jim?
James Matthews: Thank you, Tom. Good morning, everyone. Revenue for the first quarter increased 30% to a record level of $165.5 million compared to $127 million in Q1 of 2010. Broadband Access product revenues for Q1 of 2011 increased 42% to a record level of $51.8 million, compared to $36.4 million for Q1 of 2010. This increase was primarily related to continued growth and deployments of our TA5000 platform.  Internetworking product revenues for Q1 of 2011 increased 48% to a record level of $32.9 million, compared to $22.2 million for Q1 of 2010. Optical Access product revenues for Q1 of 2011 increased 86% to a record level of $20.9 million, compared to $11.3 million for Q1 of 2010. Carrier Systems revenues for Q1 of 2011 increased 49% to a record level of $86.8 million, compared to $58.1 million for Q1 of 2010.  Business Networking revenues for Q1 of 2011 increased 37% to a record level of $36.4 million, compared to $26.5 million for Q1 of 2010. Loop Access revenues for Q1 of 2011 were $42.4 million, compared to $42.5 million for Q1 of 2010. HDSL product revenues increased to $40.9 million for Q1 of 2011, compared to $39.9 million for Q1 of 2010.  As a result of the above, Carrier Networks division revenues for Q1 2011 increased 33% to $132.4 million, compared to $99.5 million for Q1 of 2010. Enterprise Networks division revenues for Q1 of 2011 increased 21% to $33.2 million, compared to $27.5 million for Q1 of 2010.  International revenue for Q1 of 2011 increased 85% to $12.4 million, compared to $6.7 million for Q1 of 2010. To provide the reporting of each of these categories, we have published them on our Investor Relations web page at adtran.com.  Gross margin was 59.7% of revenue for Q1 of 2011, compared to 59.3% for Q1 of 2010. And research and development expenses were $23.6 million for Q1 of 2011 compared to $22.8 million for Q1 of 2010. This increase in expense was primarily related to an increase in staffing costs and customer-specific projects.  Selling, general and administrative expenses were $29.6 million for Q1 of 2011, compared to $27.2 million for Q1 of 2010. This increase in expense was primarily related to an increase in staffing costs and selling activities in the U.S. and abroad.  Stock-based compensation expense net of tax was $1.6 million for Q1 of 2011, compared to $1.5 million for Q1 of 2010. All other income net of interest expense for Q1 of 2011 was $3.8 million, compared to $2.9 million in Q1 of 2010. The increase is related to an increase in realized investment gains and an increase in interest income due to higher investment balances.  The company's income tax provision rate was 30.7% for the first quarter of 2011, compared to 35.7% for the first quarter of 2010. The tax provision rate for the first quarter of 2011 included the normal benefit from research tax credits, and a benefit of $1.9 million resulting from the exercise of employee incentive stock options in the quarter. In the first quarter of 2010, the company did not recognize benefits from research tax credits due to delays in legislation.  Earnings per share, assuming dilution for Q1 of 2011, increased 79% to $0.52, compared to $0.29 for Q1 of 2010.  Inventories were $79 million at quarter end, up $4.8 million from Q4 of 2010. The increase was driven by an increase in anticipated sales volumes and higher-than-anticipated deferred revenues related to new installation services contracts. Net trade accounts receivable were $84.5 million at quarter end, resulting in DSOs of 46. Unrestricted cash and marketable securities, net of debt, totaled $460 million at quarter end after paying $5.8 million in dividends during the quarter.  Due to the book-and-ship nature of our business and the timing of near-term revenues associated with large projects, it is our policy not to give specific guidance for the quarter or for the year. However, we would like to give color to help you formulate your views on our near-term business outlook. For the second quarter of 2011, we anticipate revenues will increase in the range of high single-digit percentage points on a sequential basis. We expect second quarter operating expenses will be slightly up on a sequential basis.  We believe the larger factors impacting the revenue we realized for the second quarter and the year will be the following: spending levels at our Tier 1 and Tier 2 carrier customers; the adoption rate of our Total Access 5000 platform; professional services activity levels, both domestic and international; upgrades for mobile Broadband infrastructure; an improving Enterprise spending environment and the timing of revenue related to Broadband Stimulus projects.  Tom, back to you.
Thomas Stanton: Thank you, Jim. Laurie, at this time, we'd like to go in and open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Amir Rozwadowski of Barclays.
Amir Rozwadowski - Barclays Capital: Tom and Jim, I was wondering if we could dig in a bit more in terms of your outlook for the business. I mean, the company once again reporting record revenues on the top-line. Various factors on the different business lines, but if I think about your outlook for a high-single-digit growth in the second quarter, seems to reflect normal seasonal trends. And I'm just trying to understand sort of what the puts and takes are there, and how you're gauging that.
James Matthews: Amir, we are a book-and-ship business. We continue to be a book-and-ship business, so our visibility is rather limited. In combination of looking at history as you suggest, and the business volumes that we see now, that's the range that we're anticipating at this point. It is, in large part based on historic trends.
Amir Rozwadowski - Barclays Capital: Okay, so we consider it based on historic trends. If we think about the current spending environment, are there any factors that are taking place right now that would lead you to believe that the current spending environment, or that the strength that you're seeing would diminish as we progress through the year? Or are there, on the flip side, any factors such as ramping International business, or perhaps Broadband Stimulus that would suggest a strengthening in trends through the course of the year?
Thomas Stanton: There are -- this is Tom. There are things that we do have a more difficult time, and I think a lot of people would have a difficult time forecasting things like Broadband Stimulus, where the timing of Broadband Stimulus is one that has been -- we've tried not to really put very definitive timelines around that because we don't -- there are too many things that are outside of our control. So in our planning process, we really don't factor those in, and those sometimes come in as surprises and bolster from what our historical rates would be. But that's the way we tend to look at it. So we tend to try to give you the best guess we have without assuming that everything in the world is going to turn out positive.
Amir Rozwadowski - Barclays Capital: Great, that's very helpful. And if I may, just one other question in terms of the Broadband Access portion of the business. We're seeing continued strength there. In the past, you've discussed sort of ramping opportunities with Tier 1 operators for the TA5000. I was wondering if you could give us an update in terms of where those stand. Are those -- currently, you're seeing those at strong levels at the moment? Or is that still in very initial phases?
Thomas Stanton: I would say it depends on the carrier. So in one carrier, we actually started seeing some movement actually last year, and they started picking up. And we would expect that to continue on. I don't think they're at any type of peak rate. And even in that carrier -- so that it's kind of an ongoing business, they will have projects that they will do from time to time, which will drive that number higher. But for the most part, the majority of the applications have been approved. In yet another carrier, I would say there, the applications are approved. And it's a matter of really at what point in time they decide to accelerate what their plans are there from what they have been over the last, let's say, couple of quarters. So I would kind of view that as a run rate piece. There is always talk about additional projects and actual acceleration areas outside of their current operating model. And then in one of the large carriers, I would say we're still very much in early phases.
Amir Rozwadowski - Barclays Capital: Okay. So just on balance, I mean it seems as though, though with some carriers you have received a fair amount of business there. But on balance, with the Tier 1s, you're at still relatively early stages when it comes to those opportunities?
Thomas Stanton: Yes. I think we're at relatively early stages. And as you know, forecasting when projects actually get kicked off and when OS development gets finalized, has been difficult. I mean I think we're -- in totality, yes, we're at early stages, but I think that, that's something that, here again, if you talk about upside potential from what we would normally forecast, that's one of those things.
Operator: Your next question comes from the line of Michael Genovese of MKM Partners.
Michael Genovese - MKM Partners LLC: With the comment about the higher professional services revenues expected in the second quarter, should we think about the sequential tick down in gross margins around that?
James Matthews: Michael, this is Jim. I think we should, okay? And you might notice that our gross margins were lower in the fourth quarter. And they were higher in the first quarter in part because of lower services revenue, but we do anticipate that those types of revenues and slice and services revenues will increase for Q2. Therefore, we would expect gross margins in Q2 to be closer to what we saw in Q4.
Michael Genovese - MKM Partners LLC: Okay. And was this entire tick up, say it looks like a $7 million in tick up in unearned revenues, that was entirely around the professional installation services?
James Matthews: It was related to contracts that do relate to professional services, that's correct.
Thomas Stanton: There's equipment there, but those are all have to do with professional services. The majority it by far, if not every piece of it, of the increase.
James Matthews: Yes.
Michael Genovese - MKM Partners LLC: Great. And then, final question. Just any kind of -- with Qwest and CenturyLink. Now that, that deal's closed, does it appear to you like things are moving forward there without a hitch? Or is there any kind of delay planning period? Now that the merger closed this month, how would you think about those issues?
Thomas Stanton: I would say that there, our activity with them, our conversations with them, are continuing to move forward at basically the pace and kind of temperament that they have been before that. So I would say we're not expecting big changes in the activities. And that may be selling activities, shipping and communications with them in the near term, or for that matter, in the long-term.
Operator: Your next question comes from the line of Sanjiv Wadhwani of Stifel, Nicolaus.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Jim, could you talk about the 10% customers for the quarter?
James Matthews: Sanjiv, Yes. As you know in the past, historically, we have given a 10% breakout customers on the quarterly calls. We have recently received letters from certain customers requesting that we not do that any longer. Therefore, that's the practice that we're going to take going forward. However, we did see three 10% customers in the quarter. And that's the extent that we can talk about it at this point, Sanjiv, because of customer request.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Fair enough, that's totally understandable. A couple of other questions. On the services revenue piece, can you talk about how big it was this quarter in terms of revenues?
James Matthews: Well, that's not a number that we specifically disclose. We did talk about it directionally from a prior question. It was down from Q4. We do expect it to go up in Q2. And it did benefit gross margins to some extent because of the downward direction in Q1. But again, we expect it to go up in Q2 and grow as we go through the year.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Do you expect to hit 10-ish percentage of revenues at some point during the year, or that might be too large a number?
James Matthews: I think at this point, that might be too large a number.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Okay, got it. Last question, Tom, on OPTI LC [ph], nice increase year-over-year. I'm curious whether you think it's reaching that inflection point in mobile backhaul deployments. And then just the outlook for that application, given that obviously, eventually I think a lot of carriers would like to move to native Ethernet?
Thomas Stanton: Yes. I would say, just from an activity perspective, we actually saw some pickup in activity and questions and maybe planning around that product line exiting last year. And I would say it's continued to accelerate. And the product and project plans that people are talking about with their product line are kind of longer lasting multi-quarter type projects. So I would say we're actually feeling better about it now than we had. As to whether or not it's hit that inflection point, it depends on what you mean by that. I would say our outlook right now is as positive as it's ever been on the OPTI product line, though.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: So fair to say that it should probably see some healthy growth in the next couple of quarters?
Thomas Stanton: Yes. I mean we're feeling -- I think I mentioned in my comments that we would expect OPTI to actually kind of drive the growth in the mobility piece. And that was talking specifically about Q2. But like I said, these are projects that are in many, many sites and cover a fairly long span timeframe.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Got it. Sorry, one last question. HDSL, any updated outlook on HDSL versus where you were at the start of the year?
Thomas Stanton: Is just too early to tell. I mean, Q1 was pretty much in line with what we did in Q1 last year. We had a very -- we had a surprisingly strong year last year in HDSL. We are still not at a point -- that is very much a book-and-ship business, probably as tight of order times versus delivery times as any product we have. And we're not willing to step out there and say, "it's not going to decrease this year." And so our guidance would still be what we would expect it to decrease somewhere in the kind of high single-digits range.
Operator: Your next question comes from the line of Ehud Gelblum of Morgan Stanley.
Ehud Gelblum - Morgan Stanley: A couple of questions. First of all, I'm going to try and work through some math, and hopefully, just want to make sure I got this right. If we're looking for gross margins to go down the next quarter. As you said, Jim, back to the Q4 levels on the higher services content, then there's a little bit of a drag on margin from that. But then we're growing the top line in the high single-digits range, call it, 7%, 8%, 9%. So you also said that OpEx is going up a little bit. So if I take lower gross margin but high single-digit revenue, then your operating margin is going to expand if your OpEx doesn't grow faster than, call it, mid single digits, because it's the -- be at the high-single digits minus the gross margin decline. When you said "up slightly," how should we be interpreting that? Is that going to be up mid-single digits in the OpEx, and so therefore your operating margins stays flat? Or is it lower than -- does it just slightly translate into lower than mid-single digits, and therefore your operating margin expands?
James Matthews: Well, Ehud, we're not that specific on the OpEx rather than saying "slightly up." And perhaps you can look at history and based on guidance that we've given in the past and draw some conclusion at that.
Thomas Stanton: I think that's the good way to look them. I don't think we have any -- there have been times in the past where you have seen kind of a significant change quarter to quarter, and that's usually been Telcordia expense related or something like that. And I don't think there's anything like that, that we're looking at in Q2.
James Matthews: But what we continue to do, Ehud, is hire people. And that certainly will add to OpEx, both in terms of sales and marketing and engineering.
Ehud Gelblum - Morgan Stanley: Now your sales and marketing, actually, was flat this quarter. Your R&D was up. Is that kind of what you expected? Or did that come in a little bit higher than you thought it was going turn out to be?
James Matthews: In my view, it was in range.
Ehud Gelblum - Morgan Stanley: Okay, that's cool. Now when you look at some big customers. And I know certainly after you got these letters, you don't want to talk about customers all that closely. But again, we have CenturyLink, Qwest, and we have a slightly different merger going on with AT&T and T-Mobile, which sort of really have nothing to do with you. But there's been some thought out there that possibly AT&T may be slowing down expenses, or slowing down spending deployments, based on that. Are you seeing any, at either of these two mergers, are you seeing any difference in spending patterns? And if you feel like generalizing to a more general comment, that's fine as well.
Thomas Stanton: Yes, I mean that -- and I will tell you that the tone of, from customers, around talking about their business is probably as loud as it's ever been, so we really don't want to talk too much. If I must set the market in general, and if I talk about it from a product-line basis, maybe that's a better way to look at it, our Broadband piece did very well. That included performances pretty much across the customer base that we would expect to see at this point in time. And so really, no surprises there. I'm not sure of much more I can tell you.
Ehud Gelblum - Morgan Stanley: So it doesn't sound like you're seeing any change in buying behavior from your customers.
Thomas Stanton: Well, I've heard the same thing that you were talking about with one of the largest carriers, and I'm not sure if we really commented about that in Q4, but I know there was a lot of talk about kind of delayed purchases and things like that. And we didn't disagree with those comments. And we fully kind of understood what they were doing and how they're doing things, and fully expected them to -- those things happen from time to time when you see a slowdown and then a pickup.
Ehud Gelblum - Morgan Stanley: And have you seen slowdowns?
Thomas Stanton: Here again, I've probably delved too much into a specific customer. I would say that the comments that are out there, we haven't commented or deemed necessarily incorrect.
Ehud Gelblum - Morgan Stanley: Interesting. Helpful. Our Broadband Stimulus, quickly, are there any -- was there any revenue this quarter, or do you expect next quarter from Broadband Stimulus? Actually look at that?
Thomas Stanton: As we proceed, we did see some revenue this quarter. We expected -- it's one of those that will just continue to pick up over a long period of time, and when you're done, you'll add all these pieces up and see where it was at and feel good about it. But I would say it's still a very -- it's just kind of a slow pickup, probably incremented a little more than you saw in Q4. And at some point in time, whether or not that's Q2 or Q3 or where that falls into, we would expect to see the kind of slope of that curve go up just based off of the projects we're bidding in and what the timing is on those projects, but I would say we're still pretty early into it.
Ehud Gelblum - Morgan Stanley: So at some point, do you think you should kind of veer off your historical seasonality, as those are sort of additive or incremental? Not necessarily next quarter, but...
Thomas Stanton: Although those will definitely be -- I mean, to be honest with you, I think we've steered off of our seasonality already, and it had nothing to do with the Broadband stimulus. So I mean those are always plusses when that happens, but I think we have enough things going on that it is not what we use to try to gauge the success of our total effort here, because there are many, many things going on.
Operator: Your next question comes from the line of Ari Bensinger of Standard & Poor's.
Ari Bensinger - S&P Equity Research: I was wondering about your Internetworking or your Enterprise business. You talked a little bit about the Carrier activity, that seemed loud, but how are your Enterprise customers' tone in terms of your aspects for 2011?
Thomas Stanton: It's positive, actually. I mean last year was not a bad year at all for Enterprise, and you saw definitely a change in the environment there from 2009 and where the Enterprise Division, here again, still did very well, or did relatively well. But I would say that the general tone is actually more positive now than it has been in those last two years, so I would say good.
Ari Bensinger - S&P Equity Research: And in terms of overall targets, longer-term targets. I mean you have your growth businesses, which are growing at 20%-plus annually, and you have some traditional businesses that might see a 10% or so decline. But overall, is there any target that the company is looking at for revenue growth for 2011?
James Matthews: Really haven't tried to nail that. I mean, because of the nature of our business and the fact that we have some fairly large projects from time to time that come in and help us, we just really haven't tried to nail that. I would say that the 20% growth on the growth products is probably underplaying that just a little.
Operator: Your next question comes from the line of Nikos Theodosopoulos of UBS.
Nikos Theodosopoulos - UBS Investment Bank: Some quick ones. Jim, tax rate for the rest of the year? Should we use the first quarter as a baseline?
James Matthews: I would say no, Nikos. I think it's going to be something closer to 34%. Again in the first quarter, we did see quite a large tax benefit from the exercise of stock options. So that's a much higher benefit than we would anticipate for Q2, so I would say a rate of 34% would be a better estimate.
Nikos Theodosopoulos - UBS Investment Bank: Okay, great. And then on international, the big sequential uptick. I think there was expectations of a large customer in the Americas that would drive that. Is that what happened? And how do you see the International business flowing over the rest of the year? Is this a number that you can grow off, or is it going to stay lumpy, you think?
James Matthews: It's liable to be a little lumpy, but it's definitely, I would say, something that we're pretty confident that we can grow off, based on what we said here in Q1.
Nikos Theodosopoulos - UBS Investment Bank: Okay. And any other developments, in terms of other potential material new customers you might be able to capture across your product portfolio this year?
Thomas Stanton: Capture -- I mean, we have one business this year, both in the U.S. and outside of the U.S. I've talked about -- if you think back about the comments and I tried to highlight areas where we're actually picking up new customers versus maybe just gaining market share in existing customers. And also from a product area, I think we tried to define that a little bit better, but the answer to your question is yes.
Nikos Theodosopoulos - UBS Investment Bank: Okay, but I was thinking more internationally. I guess, maybe rephrase it, what are the prospects of additional Tier 1s being added this year?
Thomas Stanton: I think there won't be additional Tier 1s that will be added, that we'll be receiving revenue from this year that I can see at this point.
Nikos Theodosopoulos - UBS Investment Bank: Okay. And on the unearned revenue, it went up $7 million. Do you see that going down again next quarter as you recognize this professional services, or are there other things that can move that up again next quarter?
James Matthews: Well, Nikos, it could move up or down, okay? And it's really based on timing of revenue recognition, really, in those contracts. So we have multiple customers that we are performing installation services on. So there are moving parts that could move it up or down in total. So hopefully, that answers your question.
Nikos Theodosopoulos - UBS Investment Bank: Okay, and just one last one. On OPTI...
James Matthews: I would say that the aggregate business that we're doing with the customers that are driving those numbers, is going up though, through the year.
Nikos Theodosopoulos - UBS Investment Bank: Okay. And just one last one on OPTI. The sequential increase, how diversified -- the increase over the last couple of quarters, how diversified is that performance? Is it driven by multiple customers, or is it a couple of larger ones that are driving the business now?
James Matthews: It is truly across the board. I mean what we're seeing is, as you may expect when wireless carriers are saying that they want to increase their bandwidth, it's in footprint and out of footprint. So when they do announcements like that, it pretty much hits every carrier in the U.S. that is doing any type of cell site backhaul, which there are a lot. So it's pretty much across the board.
Operator: Your next question comes from the line of Simona Jankowski of Goldman Sachs.
Simona Jankowski - Goldman Sachs Group Inc.: And just a follow-up, first on the Broadband Stimulus comments. I know you have a couple of relatively larger wins. Can you just clarify if those would be recognized under 397 or 398 [ph]? And then also I think you mentioned that the slope of the ramp may accelerate in either Q2 or Q3. Would you just clarify what your Q2 guidance assumes as far as that timing?
Thomas Stanton: I going to answer the second one first, which is if said it was specifically going to accelerate in Q2 or Q3 I did not mean to say that. I said we would expect it to accelerate at some point in time, but whether or not it's towards the tail end of this or for that matter, even earlier next year, very well could be. And the amount of Broadband Stimulus that we have in Q2 is assuming kind of the same type of kind of muted acceleration that we saw from Q4 to Q1.
James Matthews: And also, Simona, on the first part of your question, we do our business -- we will be doing our Broadband Stimulus business on an indirect and direct basis. The indirect will be primarily based on shipment in terms of revenue recognition. The direct, we're not in a position to be specific in that regard yet. But obviously, we'll follow the proper policy when those contracts are concluded and we begin shipping.
Simona Jankowski - Goldman Sachs Group Inc.: Yes, part of the reason I asked is earlier, there was a comment from Calix pertaining to their acquisition of Occam, where they had a relatively large deal for Occam recognized much faster than expected in the December quarter. So I just wanted to get a sense if that's something that would be possible or likely to see in ADTRAN's case? Or would we not expect such a big lumpy recognition at some point this year, given what you know now about how you're recognizing these?
James Matthews: I don't anticipate a big lump.
Thomas Stanton: I would say, definition of a big lump may be different depending on the company you're talking about. But we're not expecting something that just comes in like that.
Simona Jankowski - Goldman Sachs Group Inc.: Okay. And then a couple quick other questions. One is on the HDSL side again. It sounds like that you think the full year might still be down in the same range as you thought earlier. But just looking at the first quarter, it's down double digits sequentially. The last couple of years, it tended to be up sequentially in the first quarter. So I just wasn't sure if there is anything to read into that as far as the pace of decline there. I recognize you have limited visibility, but as far as that decline that you just saw in that reported quarter, was that all tied into your customers' comments vis-à-vis their Ethernet roll out plans? Or what would your read into that sequential decline?
James Matthews: I'm not sure I'm capturing your question. You talk about a sequential decrease in Q1 in regards to what?
Simona Jankowski - Goldman Sachs Group Inc.: Sorry, HDSL.
Thomas Stanton: Okay, HDSL, typically, is very seasonal, so we would expect a decrease. We were actually flat year-over-year. We didn't talk about a double-digit decline. Our expectation at this point is high single-digits decline. And we will figure out exactly where it is as we get through the year because it's a very book-and-ship business. So I mean, there's no doubt that we're selling more optical gear. We're very bullish on what our optical products will do. And that in some of those cases, historically, they may have used HSDL, and that will play into that. But to the extent that they're adding an increasing number of lines to areas that aren't optically fit, that's a positive. And it's a matter of trying to gauge to what extent that we'll be able to overcome any softness due to the optical shift.
Simona Jankowski - Goldman Sachs Group Inc.: Okay, and just the last question. That is if you can just update us on what you're seeing in terms of the competitive environment on the Broadband Access side? And in particular, any new commentary around margin pressure? I know that's been an area of discussion in the past, and I just wanted to see if you see that as intensifying, or as benign at this point?
Thomas Stanton: I would say it's what it has always been, that there's no real shift in margin pressure. I think our gross margins have kind of played that out. Our new products typically end up being, at the end of the day, in the same range as what our historical range has been. And we don't see any change to that.
Operator: Your next question comes from the line of Rich Valera of Needham & Company.
Richard Valera - Needham & Company, LLC: I'd like to follow-up on a prior question with respect to, I guess, speculation out there, of a potential slowdown with the pending merger of one of your largest customers. Just wanted to clarify sort of your take on that with respect to this potential slowdown, and reconcile that with your guidance which seems to call for sort of historical seasonality. So it sounds like maybe there are other things going on, ramps of other customers, that could offset any potential slowdown with this large customer?
Thomas Stanton: First of all, I don't think that the slowdown that we were talking about before was necessarily merger related. And I think that they were just -- there was some commentary that was out there about whether or not they intend to delay some shipments. And we didn't disagree that they very well may have done that. So I don't think it's directly merger-related at all. I would say that our current projections, and with the communications that we have, we expect increases in that business through the year. But I would also tell you that the level of other business that we have with other carriers in our Enterprise business gives us some level of comfort, that whatever way that, that particular situation plays itself out, that we're still comfortable with where we are going forward.
Richard Valera - Needham & Company, LLC: Okay, that's helpful color. And then on past calls, there's been some discussion around a partnership you have with Ericsson for your IP DSLAMs to deploy into one of your large customers. Is there any color you can give on where that particular opportunity may stand, and if it's expected to ramp this year?
Thomas Stanton: It's still moving forward, both from a partnership perspective and from a customer perspective. And so we're still on track, but I would expect that not to be probably meaningful this year. Rather, it will be something we'd expect more to contribute next year, because it's at the tail end, and I don't think it's going to launch now.
Richard Valera - Needham & Company, LLC: Okay, and one final one. And I know there's been a lot of talk about seasonality, but -- or sort of guidance with respect to historical seasonality. Any reason that we wouldn't expect to see what's been a traditional sequential increase in your third quarter over the past few years in this year?
Thomas Stanton: That is, we're not giving third quarter guidance at this point, but that has been a historical trend that's gone back for a long time. So at this point in time, I wouldn't see any reason to see anything different than that.
Operator: Your next question comes from the line of Todd Koffman of Raymond James.
Todd Koffman - Raymond James & Associates, Inc.: With regards to this customer letter that you received that indicated they don't want you to share your quarterly revenue dependence from them. Is it likely resulting from sheer size of that customer dependence? Or has there been a change in relationship as it relates to ADTRAN and that customer?
Thomas Stanton: There's been no change in the relationship with that customer. And I don't think it's really sheer size with that customer in relation to our revenue. I think it's a matter of trying to make sure that they are in control in the timing of announcing their -- my guess would be, on the timing of announcing their kind of capital plans and projections for the year, or for the quarter for that matter.
Todd Koffman - Raymond James & Associates, Inc.: Just a follow-up, unrelated question. ADTRAN, for many, many years has always highlighted the book-and-ship nature of the business, particularly your HDSL business. But last week, Calix gave incredibly granular quarterly kind of revenue point guidance for the next few quarters and kind of a full year number. And I was wondering, is there anything about the nature of your business outside of HDSL that maybe has more visibility than you've talked about in the past, given how Calix gave such an incredibly granular forecasted expectations going forward?
Thomas Stanton: Well, I think our businesses are probably different. First of all, we have multiple facets. If you look at not just HDSL, but Optical versus and our entire Enterprise business. And I would say our customer base is substantially different. When you look at the fact that we're dealing with all of the Tier 1s, as well as Tier 2s and then Tier 3s, which is kind of where I think they're getting their revenue from. And maybe so, also the concentration of the business where it may be one customer that's able to give them a very specific number, and that drives enough of their revenue to where they have confidence in their longer-term projections. So I think there are probably multiple things that factor into that. That's just, I think they're just different.
Operator: Your next question comes from the line of Jim Suva of Citigroup.
Asiya Merchant - Citigroup: This is Asiya on behalf of Jim. Most of the questions have been asked, but just a couple of very quick follow-ups. One on the inventory. I know there's been some increases there, particularly on a year-on-year basis, it looks pretty significant, part of it service contract related. But when can we expect, or should we expect, to see some of that inventory not ticking up, but rather staying flat or trending down? Is that something we should even expect for the year given your professional services ramp?
James Matthews: Well, Asiya, I think you hit the nail on the head, so to speak. Our professional services business is rather inventory intensive, so to speak, so it does put upward pressure on that number. And the inventory level is, in large part, is really going to be dependent on that volume of business as we go through the year, and the timing of when we recognize revenue. And I'm afraid that's the best we can do at this point, in terms of trying to pin that number down.
Asiya Merchant - Citigroup: Okay, but there haven't been any delays in terms of when certain milestone, service-related milestones on these projects need to be completed?
James Matthews: Not particularly, no.
Asiya Merchant - Citigroup: Okay. And then just more on a macro-level picture. I mean as '12 budgets have been finalized by carriers, not specifically any one carrier, but just broadly speaking. Sort of what's your outlook for 2011 carrier spending environment?
James Matthews: I'd say in the areas that we're playing in, which is broadband and fiber, mobile backhaul, those type of areas, I think it's very positive. I mean I would say, we had very strong environment, but we, right now, feel it's going to be stronger this year.
Asiya Merchant - Citigroup: Is it -- sorry, is it more surprising? Okay. is there any surprises relative to when you were going into the first quarter, now that budgets have been finalized?
James Matthews: No. I mean, I think it's pretty much, you always have very customer-specific granularity where things may shift one way or the other. Sometimes they come in, sometimes they move out. And I would tell you, at this point in time, we have both of those type of things going on. But I would say, in the aggregate, no.
Operator: Your next question comes from the line of Simon Leopold of Morgan Keegan.
Victor Chiu: Hi, this is Victor Chiu in for Simon Leopold. I had a question about gross margins. The Internetworking and optical products were particularly strong this quarter. Can you give a little color around the sequential increase in gross margin this quarter? Maybe kind of the mix of impact from lower services, and the impact maybe from higher networking products and optical products?
James Matthews: Well Victor, we haven't historically gotten very granular on a product-by-product basis other than saying gross margins of our actual harbor products, so to speak, are in a similar range. However, our services business margins are lower, but certainly accretive to operating margins, so they weigh on gross margins. We did have a lower level of services revenue, or professional services revenue, in Q1 than what we saw in Q4. So that benefited gross margins, okay? And I'll go ahead and reiterate what we said about Q2. We are anticipating professional services revenue as being up in Q2. And therefore, we're expecting gross margins closer to what we saw in Q4 because of the increase in services revenue.
Victor Chiu: Okay. But if you saw -- if you maybe envisioned particularly better growth than you expected in optical or Internetworking, is it possible you could see gross margins do a little better than you are kind of thinking? Or is that not really us?
James Matthews: Well, that's not what we're anticipating at this point.
Victor Chiu: Okay. The TA5000 was the driver for most of the growth in Broadband Access last year. Could you just give a little color around your expectations for the mix going forward in terms of the TA5000 and the 1100, fiber-to-the-node products?
Thomas Stanton: We entered this year with good momentum, customer momentum on both of those. And we have, actually, a growing list of customers on both of those product lines. And we have meaningful kind of large-scale deployments on both of those product lines. So kind of hard to pick one or the other. I would say both of them, we expect to grow this year. And both of them to meaningfully contribute in the overall company growth.
Victor Chiu: Now just one last macro question, also. Do you think the events in Japan might impact your businesses at all? Maybe in terms of the supply chain disruption? I think read in the initial reports citing like a 25% decrease in silicon wafer production. Are there any risks for you in terms of that?
Thomas Stanton: On a fairly in-depth analysis on where we may be impacted. We believe at this point in time, we have all of our bases covered. But that's still kind of an evolving situation, so I wouldn't say that we're 100% confident that in some particular area, we may not see, still, a hiccup or two. But at this point in time, we're comfortable with where we are, and we think it won't meaningfully impact anything that we're doing.
Operator: Your next question comes from the line of Blair King of Avondale Partners.
Blair King - Avondale Partners, LLC: I have a few. First, Jim, I have a clarification question. Is it fair to assume that the majority of the international revenue is rolled up into the Carrier revenue segment?
James Matthews: Yes.
Blair King - Avondale Partners, LLC: Okay. And then secondly, just again on the gross margin question. The gross margins were up nicely in the quarter. Obviously historically, that typically would imply relatively linear order flow through the quarter I think. And conversely, that DSOs extended with an AR [accounts receivable] build, which would imply perhaps a back-end loaded quarter. So can you just give us some color on the order flow this quarter?
James Matthews: Yes. I would say you're correct on how you're interpreting the numbers. And typically, the first quarter is less linear, if you will, than the second or third in that regard. So shipments actually picked up in the latter part of the quarter in the first quarter, which is not unusual.
Blair King - Avondale Partners, LLC: Okay. And that happened despite this potential slowdown with one of your larger customers, I guess?
James Matthews: Yes.
Blair King - Avondale Partners, LLC: Okay. And then the last question is for you, Tom. Just, I guess, a few months ago when you guys announced the Ultra Broadband Ethernet product, and I'm wondering if you could just give us an update on what the trial activity there looks like outside of the U.S., and inside the U.S.?
Thomas Stanton: I'm going to speak from memory here, I didn't really get briefed on where we were at this exact point in time. We have, let's say, a handful of customers in the U.S. that are wanting to do lab trials, and we're kind of moving into that phase. I would say we're not doing field trials yet. I would say though, in Europe, it's actually farther along. We've got a probably twice the number in Europe that are either in the midst of lab trials and looking at kind of limited field trials, or are showing significant interest and we're trying to get the lab trial scheduled.
Blair King - Avondale Partners, LLC: In Europe, is it Western Europe or Eastern Europe?
Thomas Stanton: Predominantly Western Europe.
Blair King - Avondale Partners, LLC: Okay. And are any of those Tier 1 carriers?
Thomas Stanton: Yes.
Operator: Your next question comes from the line of Larry Harris of CL King.
Lawrence Harris - CL King & Associates, Inc: A couple of questions. One, within the Broadband Access, I didn't hear many comments about the TA 1200 or fiber-to-the-node products. Any additional updates you can provide there?
Thomas Stanton: Right. Now so the TA 1200 and -- we tend to use fiber-to-the-node as an encompassing piece, which includes the cabinet-based 1200 series that are fiber-fed. So when we talk about fiber-to-the-node, we're typically talking about both. And in the 1200, 1100 Series, we have just -- we're expecting positive things this year. We would expect it to continue to accelerate next year. It's going to be -- next quarter. We think that that's part of the Broadband growth that we're talking about the next quarter. And it's going well.
Lawrence Harris - CL King & Associates, Inc: Okay. And In terms of vendor networking. Obviously, in the small-to-midsized business category, you've been gaining share versus Cisco. Have you seen any changes in the last few days, in terms of their competitive thrust or what they're doing? Or is it too early to tell?
Thomas Stanton: From our perspective, it's definitely too early to tell. Honestly, I don't think the -- from what we've been able to see, which is what you've probably have been able to see, it's -- I think some of those plans haven't been laid out yet, and they definitely haven't impacted anything in the field.
Operator: Your next question comes from the line of Bill Dezellem of Tieton Capital.
William Dezellem - Tieton Capital Management: I had two questions. First of all, relative to the Ultra Broadband Ethernet product. Are you seeing anything, with any of the trials, that is reducing your enthusiasm for the product?
Thomas Stanton: No. I would say that each carrier has got kind of different expectations on what they want their particular version to look like, and that's exactly what we would have expected at this point in time.
William Dezellem - Tieton Capital Management: And the second question is relative to the Verizon network and the introduction of the iPhone in the first quarter, are you seeing any indication that, that network may be coming more strained than would have been anticipated?
Thomas Stanton: If I knew the answer to that, I would be very hesitant to give that answer anyways. But I would just tell you that we play in Verizon's network as a backhaul vendor. And they were part of our growth last year, and we would expect -- we're very hopeful of what we can do with them this year.
Operator: Your next question comes from the line Ted Moreau of WJB Capital.
Ted Moreau - The Cardinal Group: I know you don't want to talk about specific revenue from individual Tier 1s, but can you provide an aggregate percentage of revenue from Tier 1s in the quarter?
James Matthews: No, Ted. We're not looking at doing that at this point.
Ted Moreau - The Cardinal Group: Okay. And then on the European opportunities, are these opportunities and potential wins larger because of the strength of your technology? Or is it, are you using pricing to gain some footprint at all?
Thomas Stanton: No, it's a brand-new product with a brand-new particular application set, which saves the carrier a significant amount in operational and deployment cost because of the way that it goes about doing what it does. So there's no real price pressure on that product. It kind of stands alone as being unique and being able to save the carrier a lot of money. So the answer to that question is no.
Ted Moreau - The Cardinal Group: Okay. So then margins would be in line with normal margins of all the other products?
Thomas Stanton: Yes. When we start deploying it, that's what we would expect.
Operator: Your next question is a follow-up from Ehud Gelblum of Morgan Stanley.
Ehud Gelblum - Morgan Stanley: One, Jim, you said HDSL, you're expecting to be down in the high-single digits. Did you mention mid-single digits last time? I seem to remember that. So is that a change of thought?
James Matthews: I think I asked in the note for last quarter, Ehud, I think we did say mid to high single digits, yes.
Ehud Gelblum - Morgan Stanley: And now you're at high, or are you still at mid to high? I want to see it there was a change.
James Matthews: There was no kind of change there. We're still at mid to high. I mean first quarter was in line with what we saw last year, and we'll kind of see what the ramp is this year.
Ehud Gelblum - Morgan Stanley: Okay, so there's no change in your outlook there. And then I wanted to put this concept of the slowdown to bed. At various times, companies will slow down and I fairly understand that these letters that you may have gotten from carriers create a certain sensitivity that doesn't allow you to be as robust in explaining things as before. But generally when you have slowdowns, they are for one of two reasons; either a slowdown as beginning of a trend, or a slowdown as a blip that happens for any of a number of reasons, and there's a pickup on the other side. Given that your guidance was relatively strong in the high-single digits, should we assume therefore, that the slowdown that may or may not have happened is somewhat, for the most in the past. And what we have to look forward to is the recovery and the pickup from there? And again, no particular customer in particular. Or is it the beginning of the trend?
James Matthews: Our [indiscernible] are that it's a blip and it will pick up.
Ehud Gelblum - Morgan Stanley: Okay. And we've seen the blip already. So given what guidance is, the pickup is starting next quarter or the quarter after. So is that a good way of looking at it?
James Matthews: Yes. I mean you fairly understand the explainable blips and we're moving forward. Did that cover your question?
Operator: Your final question comes from the line of Amir Rozwadowski of Barclays.
Amir Rozwadowski - Barclays Capital: Just one quick follow-up, and it's related to the prior question on the slowdown. It seems as though your focus, really, is if we're looking at the buckets of potential growth opportunities this year, Tom, you folks feel very comfortable around either other Tier 1 customers or Tier 2 and Tier 3 opportunities, but still expect business to grow with several of your larger Tier 1 opportunities. Is that a proper way to characterize the growth opportunities for this year?
Thomas Stanton: I think that's exactly right. I think we have multiple opportunities, both, in Tier 1s, Tier 2s, Tier 3s and our international piece, and we're confident with the way that the year is shaping up right now. And I think Q1 was indicative of just the kind of broad-based performance that we're looking for, for the rest of the year.  Well, thank you very much for joining us on the conference call, and we look forward to talking to you next quarter.
Operator: Thank you for participating in ADTRAN's First Quarter 2011 Earnings Release Conference Call. You may now disconnect.